Operator: Good day, and thank you pray. Welcome to the OraSure Technologies 2022 Fourth Quarter Earnings Conference Call. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Scott Gleason, Head of Investor Relations. Please go ahead.
Scott Gleason: Thanks, Victor. Good afternoon, and welcome to OraSure Technologies Fourth Quarter '22 Earnings Call. I'm Scott Gleason, the SVP of Investor Relations and Communications. And presenting with me today for OraSure is Carrie Manner, our President and Chief Executive Officer; and Ken McGrath, our Chief Financial Officer. As a reminder, today's webcast is being recorded, and the recording can be found on the Investor Relations section of our website. Before we begin, you should know that this call may contain certain forward-looking statements, including statements with respect to revenues, expenses, profitability, earnings or loss per share, other financial performance, product development, performance, shipments and markets, business plans, regulatory filings, approvals, expectations and strategies. Actual results could differ significantly, factors that could affect results are discussed more fully in the company's SEC filings, including its registration statements, its Annual Report on Form 10-K for the year ending December 31, 2021, its quarterly reports on Form 10-Q and its other SEC filings. Although forward-looking statements help to provide complete information about our future prospects, listeners should keep in mind that forward-looking statements are based solely on information available to management as of today. The company undertakes no obligation to update any forward-looking statements to reflect events or circumstances after this call. With that, I'm pleased to turn the call over to Carrie.
Carrie Manner: Thanks, Scott, and thank you to everyone for joining us today. In the fourth quarter, we once again delivered strong top line results, which exceeded our prior financial guidance, generated cash of $9 million in the quarter and made further progress in our strategic transformation journey. As we look to important aspects of how we are transforming, we have predominantly been focused on strengthening our foundation, expanding our cost reduction programs. Today, we announced a reduction in our nonproduction workforce of 11%. These changes better align our organizational structure with the realities of our business. We believe the restructuring allows us to utilize our COVID-19 cash generation to support incremental growth investments, while targeting to achieve cash flow breakeven for the core business, that is non InteliSwab revenue by end of 2024. In 2023, we are focused on elevating growth across our core portfolio, increasing the reach of our current products, expanding segments and further enhancing our enterprise capabilities to drive business efficiency and growth. As an early proof point in our strategy, we signed a deal with Quest Diagnostics to serve as the preferred provider of saliva collection kits for Quest's Genomic Sequencing Services Group test offerings. We also have several co-clearances of sample collection devices underway with partner companies for their novel assays, similar to our recent Grifols announcement. As we gain momentum across our business, we'll also look for opportunities to further accelerate growth through our own innovation pipeline, along with enhanced strategic partnerships, as well as potential acquisitions. In order to provide more detail on our strategic progress, I'll begin with our organizational restructuring and efforts to drive core business profitability. First, we consolidated our 2 business units into 1 OraSure and have just announced the reduction of our nonproduction workforce by 11%. Streamlining our organization makes sense for our size and for the potential to unlock significant efficiencies, enhanced collaboration while simplifying our leadership structure, increased revenue synergy opportunities and improved resource allocation across the company. It will also allow us to leverage our enterprise functions such as manufacturing operations, R&D, quality and regulatory, along with our digital IT assets enterprise-wide. We anticipate the restructuring, along with other process improvements and cost reductions, will deliver operating expense savings of approximately $15 million per year, when fully implemented at the end of the first quarter. As we lay the groundwork here for long-term cash generation, we have also made announcements -- sorry, and we've also made enhancements to our enterprise capabilities and manufacturing operations. I am pleased to announce that our new packaging and labeling configuration for InteliSwab has been authorized by the U.S. Food and Drug Administration, and we expect this new configuration to begin shipping by the end of this March. These changes have been a major undertaking by our team, and will drive per test cost savings of approximately $0.40. This includes the impact from lower shipping costs based upon the smaller packaging configuration, which will reduce total truckloads by approximately 50%. Furthermore, it will reduce our environmental impact, since these changes will save on the order of 90 tons of plastic and 1,500 tons of paper from entering the waste stream. We are looking to apply these learnings to other portfolio products as well, such as our HIV self-test, and we believe we can unlock additional savings through further standardization and process enhancements. Contributing to our continuous process improvements, I'm pleased to share the addition of Trace Custer to our executive team leading quality and regulatory. Trace is a highly experienced life sciences industry veteran with leadership experience across numerous healthcare companies. Having joined us in Q4, Trace has now helped us implement a number of improvements to help lead in our restructuring and is evaluating further areas for efficiency, such as within our recent implementation of an electronic quality management system. On systems, I would also highlight that we have now fully launched Salesforce.com across our commercial team. Using a standard CRM enables better monitoring and improvement of our sales KPIs, including in areas like pipeline growth and conversion success. I am a strong believer in operating rigor and every one of our teams at OraSure now has established sets of leading and lagging key performance indicators to drive visibility and accelerate our success, each of which along with those we roll up across the enterprise, we believe will drive results and deliver shareholder value. As I've mentioned repeatedly, our organization has strengthened our foundation and is increasingly focused now on elevating our core growth and our strategic transformation. This quarter, we established some early proof points, that we believe helps set the tone for our longer-term roadmap, as we look to establish the company as a leader in self-testing and point-of-care diagnostics, as well as an effortless sample collection and services. First, within our Diagnostics segment, we are working to expand our respiratory assay portfolio, building on our success with COVID-19 lateral flow testing. We believe that InteliSwab will transition to become part of our core and combination influenza tests will become an important diagnostic for 2 of the most widespread clinically actionable and serious respiratory viruses. As such, we are working internally and in partnership externally to address this healthcare need around the flu. While we are not yet prepared to share details, we do believe in the important role of this test, as a part of the commercial expansion of our respiratory portfolio. Also in InteliSwab this quarter, we won 2 additional contracts from the U.S. federal government. On the first contract, the U.S. Defense Logistics Agency agreed to purchase an estimated 18 million tests of InteliSwab COVID-19, with a maximum award of 36 million tests and a guaranteed minimum award of 3.6 million tests. The contract runs from November 2022 through November 2023. Additionally, we were notified by the government of an incremental award of 3.2 million tests in December. Fulfillment of both of these awards has been running concurrently with our existing government contract, that is supporting the school testing program. Under our federal government contracts, we have shipped approximately 46 million tests as of the end of the fourth quarter and have up to 64 million additional tests, which can be purchased, assuming the government orders the target number of tests under our second RFP win. Additionally, in December, we were one of a group of companies awarded a tender for the state government of Connecticut, which also allows us to compete for up to 6 million additional tests. As we think about growth drivers for diagnostics in 2023, we've also been notified that we will receive our first orders from Emory University supporting outreach testing under the Let's Stop HIV Together initiative. Furthermore, our OraQuick In-Home HIV test is now offered on amazon.com directly, with prime fulfillment. While our online sales via Amazon are relatively small, they are increasing as we fulfill more customer orders and have moved up in terms of search algorithm. We are also encouraged by recent U.S. government funding and future potential funding, focused on healthcare conditions we serve. Moving to our molecular tips business; the headwinds we've discussed have continued, as some of our key customers have taken a more cautious stance on their near-term business outlook. That said, we believe the fundamental backdrop supporting genetic sample collection remains very attractive, as the number of applications continues to expand, and precision health is key to the future of healthcare. Examples of these trends include the increase in high-value diagnostic and precision therapeutics, along with clinical laboratories increasingly working to reach patients in lower acuity settings, such as in-home and retail. and like the deal I mentioned with Quest. As we think about expanding our collection kits business, we would also highlight progress with Colli-Pee. This quarter, we launched 4 new CE IVD products in women's health and beyond. Additionally, we have multiple clinical research and commercial co-clearance collaborations kicked off, in an effort to continue establishing first void volumetric urine as a validated sample type for HPV screening, women's health therapeutics and the detection of oncology biomarkers. Finally, I would point out, the recent FDA approval of the first microbiome-based therapeutic to prevent C. difficile in adults with recent data showing that these therapeutics improve health outcomes. This approval paves the way for other biotherapeutics, and we believe will serve as a positive catalyst for microbiome-based investment in new research studies. In conclusion, we have made significant progress strengthening our foundation, by resetting our cost structure and operating rigor. This progress will facilitate future growth investments and sets the stage for us to achieve cash flow breakeven by the end of 2024. As we look forward here in 2023, we are increasingly focused on elevating core business and increasing our innovation pipeline to accelerate profitable growth. With that, I am pleased to turn the call over to Ken to discuss our financial results and guidance.
Kenneth McGrath: Thanks, Carrie. I'm pleased to discuss our financial results for the fourth quarter and provide updates on the financial outlook. First, from a top line perspective, we delivered total revenue of $123.1 million in the fourth quarter, which was another new record for the company, representing year-over-year growth of 94%. Our Diagnostics business unit delivered total revenue of $107.3 million in the quarter, growing 228% versus last year. The majority of this growth was driven by IntelliSwab, which increased almost sixfold year-over-year and our core diagnostics business was up 3% in the quarter. Core growth was negatively impacted by the timing of international orders, which were down on a year-over-year basis. However, many orders were pushed out until the first quarter of 2023, and consequently, we expect a strong first quarter for our international diagnostics business. Additionally, as Carrie mentioned, we will begin seeing our first orders under the Let's Stop HIV Together program in the first quarter, bolstering our domestic HIV business. Our Molecular Solutions business unit delivered revenue in the quarter of $15.8 million, declining 49% relative to the fourth quarter of last year. Excluding COVID-19 revenue, the business declined 32%. While we continue to add new accounts, 2 of our large consumer-oriented customers, and one large clinical lab ordered significantly less product when compared to Q4 of 2021. We believe this was due to a work down of excessive inventory within these accounts, as they respond to macroeconomic factors impacting the segments in which they compete. We also cycled against a significant research study purchased in 2021, that despite ongoing needs, did not repeat in Q4 of 2022. Going forward, we expect to see continued volatility in this segment, as some of our largest customers continue to deal with these macroeconomic factors. Despite this expected volatility, we remain optimistic about the potential to expand genetic testing through partnerships, such as the deal with Quest Diagnostics and to support novel diagnostic assays, while we also onboard new customers. From a gross margin perspective, our non-GAAP gross margins in the quarter were 40.7% compared to 40.0% last quarter and showing meaningful positive progress on a sequential basis. The sizable mix shift in revenue towards our diagnostic business unit continued to create some margin headwinds, with 87% of the revenue in the quarter coming from diagnostics versus 84% last quarter. We continue to make plans to boost our longer-term gross margin profile, including opportunities for further packaging improvements, plus standardization across products, moving our legacy test automation, as well as site consolidation based upon future volume contingencies. As Carrie mentioned earlier in the call, we plan to transition to our new packaging configuration for InteliSwab late in the first quarter of 2023, which we believe will save approximately $0.40 per InteliSwab test and have a meaningful impact on our gross margins. However, it is important to remember that given lower pricing under the new RFPs, we expect to have some pricing headwinds in the first quarter. Therefore, we anticipate some pressure on gross margins in the first quarter, followed by improvements throughout the year, as mix and manufacturing efficiencies improve our cost structure. Moving on to our operating expenses; our non-GAAP operating expense in the quarter of $31.8 million decreased by $3.5 million relative to the third quarter. The decline in operating expenses is attributable to timing and lower bad debt, along with our focus on cost controls. Looking forward, we believe to expect -- we believe the expected $15 million in annualized operating expense savings highlighted by Carrie, will be fully recognized beginning in the third quarter of 2023. As part of achieving these savings from our workforce reductions, we expect to recognize onetime severance expense of $2 million in the first quarter. In anticipation of InteliSwab tapering in the second half of 2023, we will deliver further cost reductions in manufacturing operations. Across all of our cost reduction efforts, we are targeting to achieve cash flow breakeven in our base business, excluding InteliSwab revenue by the end of 2024. Our operating expense savings will allow us to make targeted investments with attractive returns, utilizing the significant cash we generated from InteliSwab in coming quarters. From a cash perspective, we ended the quarter with total cash and cash equivalents of $111 million, a $9 million increase from last quarter. Working capital increased significantly in the quarter, which the company believes will convert to cash as InteliSwab revenues taper in the future. We also continue to expect to generate positive cash flow from our $109 million Department of Defense contract to build out our InteliSwab capacity. The majority of the cash tied to this expansion has now been spent, and we will see positive cash flow, as we complete milestones under the contract going forward. Given the continued volatility with InteliSwab, we are only providing quarterly guidance for the fiscal year. In the first quarter of 2023, we are guiding to revenues of $125 million to $130 million, representing year-over-year growth of 85% to 92%. Regarding the cadence of revenue throughout the year, we are expecting continued strength in InteliSwab revenues in the first half of the year, while we deliver on our government contracts, followed by significantly more modest InteliSwab revenue in the third and fourth quarters. As Carrie mentioned, we are focused on driving momentum in our core business as we exit the year, by implementing our planned cost savings and looking for opportunities to drive core growth throughout 2023. With that, I am pleased to turn the call back over to Carrie for concluding remarks.
Carrie Manner: Thanks, Ken. We continue to make meaningful progress on our transformation journey this quarter, as the company focuses on innovating and operating with disciplined execution and accountability. We have now firmly positioned the company on a strong financial footing and expect to see our balance sheet improve through 2023, creating the opportunity for future growth investments. As we look forward, core growth is our predominant focus as an organization, and our team is motivated to deliver this year. We continue to believe that our capabilities can help power, where healthcare delivery is going, meeting people, patients where they are, providing innovation and care at the lowest possible level of acuity. Therefore, we are excited about the opportunities in front of us. And with that, I'm pleased to turn the call back over to Scott for Q&A.
Scott Gleason: Thanks, Carrie. Operator, we are now ready to begin the Q&A portion of the call. We would ask that you limit your questions to one question and one follow-up to ensure broad participation.
Operator: [Operator Instructions]. Our first question will come from the line of Vijay Kumar from Evercore ISI.
Vijay Kumar: Just on the base business here, [indiscernible] share all the color. Is the base business now at a place where it should grow, or are we still looking at '23 as a transition year? And any color -- I know you spoke about the consumer genomics market macro, but you've also signed some new partnerships. So maybe just help us understand ex-COVID what the base business revenue trajectory should look like?
Kenneth McGrath: No, great question, and thank you for that. Our guidance of $125 million to $130 million for Q1, what we're guiding towards is that the InteliSwab revenue will be roughly the same -- roughly flat or a little bit up quarter over prior quarter. So implied in that is that our core business is roughly flat versus Q4.
Carrie Manner: And I'd add on molecular. While we don't expect a snap recovery on the first half of 2023, we do remain optimistic about the long-term fundamentals of that segment. And that -- we shared some positive signals like the deal with Quest, it really is about those end segments. We are adding customers, and we are staying closely connected with them. So while, again, I'd just reiterate, we don't expect sort of the snap recovery, we do expect the strength in the long-term growth in that attractive market, which we continue to meet the needs of.
Vijay Kumar: Understood. And then maybe my follow-up here, one on gross margins and free cash flows. Gross margin, a slight improvement sequential from 3Q levels. But again, I think long term, we were looking at 50% plus as the gross margins of the business. Any comments on what the gross margin trajectory should look like? And you've also mentioned free cash for base business -- hitting free cash positive by end of fiscal '24, is the cash balance that you have on hand right now, that 80-plus, is that enough for you to achieve that free cash positivity?
Scott Gleason: Hey Vijay, thanks for the question there. A couple of things as we think about the margin profile of the business. Obviously, we've seen a very significant mix shift from molecular to diagnostics over the last 12 months. Eventually, we're going to get to the point where we would expect to see InteliSwab starts to taper some. We obviously made the comments in the press release, where we talked about we expected the first half of the year to have a much higher weighting towards InteliSwab than the second half. As that mix transition occurs, you will start to see some margin benefits, because the molecular business has a higher underlying margin structure to it. The other things that Ken mentioned that we're focused on, is when you look at the manufacturing side, we still have some significant changes that we're looking at in terms of site consolidation, standardization across products and then also looking at things like some of the learnings from InteliSwab, transferring that to the additional tests, which we think will drive margin improvements over time. And so it's something we're focused on. We kind of see this as a marathon, not as something that's going to happen in any single quarter. And so it's something where we're going to make continual process improvements. But we have a new Director of operation -- or a new SVP of Operations, Zach Wert, who is highly focused on driving efficiencies across our business and it's something we're going to keep working on throughout the year here.
Kenneth McGrath: Yes, from a cash perspective, as we mentioned, we increased cash quarter-over-quarter. One thing we did highlight is that our working capital increased over -- during Q4. A lot of that was ramping up for some of the government business, as well as for the packaging changeover that we're doing. And if you look at it, there was significant -- I think our inventory quarter-over-quarter went up about $17 million and our accounts receivable went up by $9 million. We believe that's highly convertible to cash, given the government contract and the business that it's serving.
Operator: Our next question will come from the line of Patrick Donnelly from Citi.
Elizabeth Speyer: Hi. This is Lizzie on for Patrick. So I guess, first, I think you mentioned for some of the consumer-oriented customers, they were ordering less this quarter. I guess how quickly do you suspect that they're going to work through this inventory? Is this more of like a 2-quarter -- or is it more like the second half of the year? And I have one follow-up.
Scott Gleason: Yes, Lizzie, I think the guidance that we provided is that, we're not going to see kind of a snap recovery here in the first half of the year. That said, when we look at the end market growth for our core customers, most of them are continuing to grow. And you can see that among a lot of the clinical laboratories that you guys cover, that the end markets remain growing. That's what makes us confident that some of the softness that we've seen is tied to inventory rebalancing. We are seeing some labs having some financial challenges, and so they're trying to preserve cash. And so that activity is, we believe translate into the business. And so that gives us confidence in the longer term. But I think the bigger thing that Carrie mentioned is, the fundamental backdrop we see for the market overall is exceptionally strong. And we've seen an increased interest in people reaching patients where they are. We had the Grifols deal last quarter. We had the Quest deal this quarter. I think that's a strong example of the types of demand that we're seeing from customers, and we expect that to continue. And it's something that we're going to be focused on heavily this year, as we focus on growth.
Elizabeth Speyer: Great. And then I guess just on your priorities when it comes to investing back in the business, you talked about site consolidation, standardization and the new packaging. What are your other -- what are the other areas, I guess, that you're looking at, whether it's cutting costs or just investing internally?
Kenneth McGrath: Yes. As you mentioned, our focus areas, first, it's around InteliSwab, which we've delivered on over the past couple of quarters and continue to -- with significant reductions in costs. And in Q1, we'll see reductions, as we mentioned in the packaging. And then the other area of focus will be around our facility site rationalization, and really looking to optimize the footprint that we have, as well as, as Scott mentioned, taking the capabilities that we've developed with InteliSwab, and transferring those to other product lines and those efficiencies. Those are the primary focus areas, in addition to, as Carrie mentioned earlier, the restructuring that we announced earlier today. Those are the primary areas that we'll be focused on going forward.
Operator: Our next question comes from the line of Brandon Couillard from Jefferies.
Brandon Couillard: Carrie, in terms of the restructuring, 11% headcount reduction in nonproduction areas, were any of those positions -- I mean, should we think about those as mostly non-revenue-generating positions? And when you consolidate molecular and diagnostics together, will that change how you report the segment revenues externally? And lastly, the $50 million savings, should we think about that as a gross or net number? And I think you kind of mentioned some desire to maybe reinvest some of that in growth. Is that more of a '24 investments or should we see that sooner?
Carrie Manner: Brandon, I'm going to let Ken start on the segment reporting, and then I'll hit the restructuring piece.
Kenneth McGrath: Yes, Brandon, we are planning on starting in Q1 of 2023, to change our reporting to one segment, recognizing the changes that we've made in the organization structure and how we run the business as we go forward. As far as the cost savings, the $15 million annualized cost savings that we quoted, the way to think of it is, coupled with the cash that we've generated from InteliSwab and are generating from InteliSwab, and then layering on the cost savings. What we are doing is building up a cash base to then further invest in the business, whether it's organic investments or inorganic. Obviously, we can't talk about any specific examples on this call, but that's the approach that we're taking is, deliver on InteliSwab, build up that cash base and then get -- become more efficient with the core business and use that savings then to reinvest in the business going forward. And again, that reinvestment will be organic areas as well as inorganic, depending on the best opportunities. Carrie, do you want to add...
Carrie Manner: And I'd say focusing on strategic partnerships where those make sense now, we've talked about that from the beginning, and you will see us increasingly focusing on delivering growth through strategic partnership. On the restructuring, very clearly, we have restructured to generate growth, so as to not impact that moving forward. And I'd say when you look at the cost cutting, it started with simplification, really focused around consolidating functions across the enterprise. We're too small a business to have sort of these distinct business units. And so eliminating redundant management positions, focusing on value creation opportunities. But that consolidation of functions for a business our size, just really makes a lot of sense. And so it's -- now that we have done a lot of the work on strengthening the foundation, it really is about elevating our core growth. And I'd just reiterate that, innovation internally plus strategic partnerships as we rebuild our cash base to be even stronger.
Kenneth McGrath: And Carrie, as you mentioned, coupled with the restructuring, there's also a focus on process improvements within the organization to help drive our efficiency as we go forward.
Brandon Couillard: Got it. Okay. And then on InteliSwab, do you think you could give us a feel for the magnitude of the sequential gross margin improvement you may have seen just for that product? And what is the $0.40 of savings from the new packaging mean to the gross margin profile of that product?
Kenneth McGrath: I don't think we've given that level of detail out in our numbers. But I'll tell you how to think about it, right? So right now, I think we mentioned there was 46 million tests delivered through December of last year, and about 64 or-so million tests remaining going forward on the 3 contracts that we have. Now one element is, some of those contracts have lower price points than the original contract. So that's one headwind. However, to your point, as we offset that, you can think of the $0.40 per test being implemented by the end of this quarter. And then based on the remaining volume of those tests, it's a simple math there. Scott, I think that's about what we've said publicly, correct?
Scott Gleason: Yes. Ken, obviously, Brandon, we've said the preponderance of our revenue is still under those government contracts, which the pricing has been disclosed. So when you think about $0.40 on -- relative to that test pricing. Obviously, it's a very significant increase in the gross margin structure for that business. On a sequential basis, while we didn't give the gross margins, we did see a meaningful improvement in terms of InteliSwab, on a sequential basis as well.
Operator: Our next question will come the line of Jacob Johnson from Stephens.
Jacob Johnson: Just maybe the other side of the restructuring you announced today, the One OraSure initiative. Carrie, you mentioned the potential for enhanced collaboration and revenue synergies. Can you just talk about some of the opportunities you see as you unite the segments?
Carrie Manner: Absolutely. Jacob, I think we've shared some of the restructuring and expanded upon it in this quarter, that we brought together a product office, which brings together our commercial teams in sales and marketing, product management and R&D under Kathy Weber, whom you all know. And the opportunity spans from our collection kits, where we have tremendous relationships and can expand in -- through areas like new applications for those kids, microbiome services, building on our services capability of what is our Diversigen business. I'd say, let me be clear that, while we think there is opportunity to cross-sell more, we also, through this restructuring, are very much maintaining the specialized strengths within our portfolio. So even though we're creating one product office, which allows for collaboration, there's also this element of best practice sharing, and it's not that the sales teams are being mashed together to sell those products. It's more maintaining specialization, leveraging best practices and sharing sort of a strategic account focus across the business to increase our hunting, while maintaining all of our service capabilities.
Jacob Johnson: Okay. That's helpful. And then just for my follow-up, I think last quarter, you mentioned inorganic growth opportunities. Ken just mentioned, I think, in the answer previously. Certainly, I understand you're not going to tell me what you're going to buy. But in terms of maybe timing and your appetite for M&A, do you think you've accomplished a lot of maybe some of the operational internal organic initiatives, that sort of blocking and tackling, such that now you can start looking? Or do you feel like there's still some more things you need to do, before you look to M&A?
Carrie Manner: To your point, Jacob, there are still things internally we can and will do to increase our innovation pipeline. And so this focus on strengthening our foundation, we feel like puts us on very solid financial footing, while we simultaneously increased our internal pipeline and all of the process rigor around that. And then I said it before, but I'm going to emphasize again, strategic partnerships are the way where we get momentum, before we have the cash because we're going to be very judicious and not threaten any aspect of our liquidity. But strategic partnerships give us that way to think about how we can expand our value chain capabilities within each of our portfolios and then potentially position for the right M&A, as it's available. So while we're not talking specific M&A, I focus on strategic partnerships and value chain expansion in the segments in which we play.
Operator: Our next question will come from the line of Andrew Cooper from Raymond James.
Andrew Cooper: Maybe first, just thinking about the gross margins, I know a couple have already sort of attacked this a little bit. But when we think about InteliSwab margins being up sequentially, you had talked about the core being down a bit quarter-over-quarter, and that seems like it's -- what played out. But can you give us a sense for other than mix, what some of the moving parts are there? Did things perform more or less as you expected? And maybe just on a constant mix basis, what has that core gross margin really looked like, and how should we think about it trending through the course of '23?
Kenneth McGrath: Yes, I think you're thinking of the right elements as you go through it. Mix, as Scott mentioned, as we mix towards more diagnostic, which has an overall lower margin than molecular over the past couple of quarters, that's kind of a headwind to overall gross margins. However, the team through their great work, has offset a lot of that, with improvements in efficiencies, in particular with InteliSwab. And they will continue to do that, as we mentioned, with the packaging and freight reductions of about $0.40 per test as we go forward. So I think you're thinking of the right elements in there. The other area that we've made improvements in margin is, as we bring on more volume, we do better with our overall absorption in the facilities that we have. That's an area that we focused on, as well as a significant reduction in scrap along the way. So I think you're thinking of the right areas, it's mix and then there's overall operational efficiency that we're driving. And if you think long term, one of the areas that we mentioned on a prior question was around our facility footprint, and really looking at leveraging our facility footprint going forward to take the best advantage of it. And then in addition to that, to leverage the capabilities we've developed and built with InteliSwab and leverage that on our other platforms. So those are the areas -- that's how we're thinking of it going forward. So I think you're thinking of it the right way.
Scott Gleason: Yes. And I would just highlight 2 other areas. One thing we did see this quarter is we had a higher international mix, when we look at our Diagnostics segment. The international Diagnostics business has a lower gross margin profile than our U.S. domestic-based diagnostics. The other piece, as we think about our margin structure that we saw in the quarter is -- remember, the COVID molecular kits had a very high margin profile as -- the highest margin product for the company. And so as that tapered some, that also has created some headwinds as well for the business overall.
Andrew Cooper: Okay. Helpful. And maybe just following up on one of those things, just in terms of the facility footprint and how you think about that. Obviously, the government's funding a lot that can probably be used beyond InteliSwab. So should we be thinking about that as likely being some of the legacy facilities moving into that super factory you've talked about before? What do timelines sort of look like for that? And anything else we should think about from that footprint perspective?
Kenneth McGrath: Yes. So at a high level, yes, you're right. That's how we're thinking of it. We haven't quoted any timelines at this point. You can imagine it's an urgency of us. We have a facility, we have a capability we've built. Now we want to leverage that to its fullest extent. So that's the analysis and approach we're looking at right now. I can't give you a timeline, but we are -- that is a sense of urgency...
Carrie Manner: Yes. site consolidation is a priority. And those capabilities we have built the super factory, Andrew, that you appropriately remember can be translated across our OraQuick platform and leverage more broadly in the portfolio.
Operator: [Operator Instructions]. Our next question comes from the line of Casey Woodring from JPMorgan Chase.
Casey Woodring: The stocking and genomics, is that a 1 quarter dynamic here in 2023, or is it perhaps something that you see lasting into the second half of the year? How do you see stocking playing out through the course of this year, and do you see this business growing in 2023?
Scott Gleason: Yes, Casey. I think as we talked about from a guidance perspective, obviously, we don't provide specific business unit guidance. That said, we have seen kind of a general trend. A lot of companies right now are in cash preservation mode. And so when we look at companies across our customer spectrum, we think that many are bringing down inventory levels from a cash preservation standpoint. I think it's tough to predict exactly when that's going to end. Our guidance that we gave roughly on the call was that, we would expect relatively similar trends here in the near term, but we're very optimistic longer term. And so we're hoping to see some improvement as we go throughout the year for that business. But we haven't provided specific business unit guidance.
Casey Woodring: Okay. That's fair enough. And then my follow-up is just on the Quest partnership. How much upside does this provide in 2023? Can you give us a sense of how many tests a year you would be providing products for and how we should be modeling the impact to margins there?
Carrie Manner: Yes Casey, while we're not sharing specific details of it. What we would say is that, as the preferred provider for Quest's genomic sequencing services test group, it's for all saliva collection for that business. So we're obviously hoping and cheering for their launch. We will be hoping that, that grows, and I think we'll be staying tuned. The opportunity though is for customers like Quest and I'd say just this theme of moving to meet patients where they are, the beauty of our effortless sample collection, is that we can power the entire industry in doing that. So our strategy is to increasingly be the go-to sample collection innovator across sample types. So I think while it's a great example, and we're rooting for them, we're really looking to be that partner across the whole industry.
Operator: And I'm not showing any further questions in the queue. I'd like to turn the call back over to Carrie for any closing remarks.
Carrie Manner: Great. Thank you to each of you for joining. We appreciate the interest. And while we look here to 2023, we just emphasized that the shift from our -- strengthening the foundation and a very solid reset for our financial footing to elevating our core growth and allowing us to accelerate into profitable growth. So more to come. Thank you again, and have a good night.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect. Everybody, have a great day.